Operator: Ladies and gentlemen, thank you for standing by, and welcome to Berkeley Lights Fourth Quarter 2020 Earnings Conference Call. . It is now my pleasure to introduce Carrie Mendivil, Investor Relations.
Carrie Mendivil: Thank you. Earlier today, Berkeley Lights released financial results for the quarter and year ended December 31, 2020. If you have not received this news release or if you'd like to be added to the company's distribution list, please send me an e-mail to ir@berkeleylights.com. Before we begin, I'd like to remind you that management will make statements during this call about our forward-looking statements within the meaning of federal securities laws. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated. Additional information regarding these risks and uncertainties appears in the section entitled Forward-Looking Statements in the press release Berkeley Lights issued today. For a more complete list and description, please see the Risk Factors section of the company's final prospectus filed with the SEC on November 19, 2020, the company's quarterly report on Form 10-Q for the quarter ended September 30, 2020, and in its other filings with the Securities and Exchange Commission.
Eric Hobbs: Thanks, Carrie, and thank you, everyone, for joining us this afternoon. Joining me today is Shaun Holt, our Chief Financial Officer; and Kurt Wood, our Vice President, Business Development. As we announced in early February, Shaun is moving on from Berkeley Lights at the end of April to pursue opportunities with earlier stage companies. On behalf of the Berkeley Lights team, I want to thank Shaun for his leadership and his many contributions to the company over the past 5 years, especially as we're taking us public last year. Kurt will officially transition into the role of Chief Financial Officer on March 15. On the call today, Kurt will provide the financial detail on both the fourth quarter and full year 2020. And then at the end of the call, Shaun will join us for Q&A. There is no doubt, 2020 was an incredibly challenging year, but I am so proud of the Berkeley Lights team for their continued efforts, especially in the presence of COVID restrictions, to drive the installations and adoption of our industry-leading platform. We finished the year strong with fourth quarter revenue growing 31% year-over-year to $21.7 million and ended the year with an installed base of 75 platforms, up 56% from the end of 2019. For those on the call who are new to Berkeley Lights, we are a leading digital cell biology company focused on accelerating the rapid development and commercialization of biotherapeutics and other cell-based products. We envision a future where cells are a scalable and sustainable way to manufacture the products that we need to live a long and healthy lives. And the Berkeley Lights platform is key to enabling this by providing precise, rapid discovery and functional validation of biology. Our goal is to become the industry standard across a cell-based product value chain. Now the markets that can be addressed by cell-based products are varied and large, and we are initially focusing on 3 markets: antibody therapeutics, cell therapy and synthetic biology. Collectively, these markets accounted for estimated end-market sales of $148 billion in 2019 and are projected to grow to over $250 billion over the next 4 years. We believe these markets represent an estimated addressable market opportunity of $23 billion to Berkeley Lights.
Kurt Wood: Thanks, Eric. Total revenue for 2020 increased by 13% to $64.3 million over 2019, in large part due to strong demand for our workflows across all core market segments and antibody therapeutics, cell therapy and synthetic biology. On a quarterly basis, revenue for the 3 months ended December 31, 2020 was $21.7 million, with $17.7 million coming from product revenue and $4 million coming from service revenue. Fourth quarter revenue increased 31% over the fourth quarter of 2019, driven by new system placements and increased recurring revenue from the growing installed base. Looking at our 3 revenue streams. Direct platform sales totaled $44.7 million in 2020 and $15.3 million in the fourth quarter of 2020, increasing by 14% and 39%, respectively, over the prior year periods. In both cases, growth was largely driven by strong demand in antibody therapeutics. Revenue from joint development agreements and partnerships was $5.8 million in 2020 compared to $9.6 million in 2019. In the fourth quarter of 2020, this revenue stream generated $1.6 million compared to $2.6 million in the prior year period. As we look forward, we expect this revenue stream to grow as we recognize revenue from the viral vector collaboration as well as additional future collaborations.
Eric Hobbs: Thanks, Kurt. Overall, I'm so proud of our team and what they were able to achieve in what turned out to be an incredibly challenging year. Amidst the global pandemic, we continue to deliver throughout 2020 and ended the year strong in the fourth quarter. But even more important than our commercial success, during the year, we continued to build a strong foundation in existing and new markets that will position us for success in the coming years. Looking ahead, I am more bullish than ever about the opportunities in front of us. The demand for cell-based products is growing rapidly. And as these markets grow, our technology will become the critical component to accelerate the commercialization of these products. I am confident that we are well positioned to execute our strategy to transform the market for cell-based products in the coming years and beyond. With that, we'll now open it up to questions. Operator?
Operator: . First question comes from the line of Tycho Peterson with JPMorgan.
Ruizhi Qin: This is Julia on for Tycho. I want to start with the viral vector new workflow. Can you talk about - does that have a play into vaccines? Or is that more tailored for gene therapy? And how should we think about the addressable market and the number of marquee customers that you can have outside of this partnership? And you mentioned the $17 million deal size. How should we think about the revenue ramp cadence?
Eric Hobbs: Yes, thanks for the question, right. As a - just a reminder for everybody on the line, as part of our - a core part of our strategy is to leverage our technology to access new markets, do business development partnerships. And of course, we're excited to announce this new collaboration with the global leader in the CDMO space. Generating stable cell lines is hard. And in particular, in this particular case, we're talking about generating stable cell lines for viral vectors in the cell and gene therapy space. And they're so - and they're hard. It's hard to do this because conventional screening process is really limited to tens of cell lines over a 6-month period. And through this new partnership, our goal is to make stable cell lines for viral vector manufacturing as accessible to the world as they currently are for antibody therapeutics. As we move forward in this partnership, we signed a $17 million deal, as you described, which, of course, a certain part of that is a fixed or lock-in payment that will occur over the first couple of periods, and then there's additional upside as we go into the future. When you think about the overall market that is servable in this particular space, CDMOs, in general, globally, are really working to provide these cell lines, these stable cell lines. But also, right now, currently, they're being provided - the viral vectors are being provided via transient cells. And so we believe that with the stable cell line production, we'll be able to take additional market from the transient cell line market as well. Any additional color, Kurt? Oh, go ahead.
Ruizhi Qin: No, please go ahead.
Kurt Wood: Yes. Your second part of the question is about the $17 million, how much to put in for this year. We've obviously baked that into our guidance. It could vary, and obviously, depending upon how much work gets completed in which time frame. But I think it's safe to say, there's probably 25% of that total would hit in 2021.
Ruizhi Qin: Got it. Very helpful. And then my second question regarding the 2021 guidance. Obviously, it came very strong and above our deal model. Could you discuss what's driving the upside in guidance? Is that mainly the partnership? Or where do you think the number of new workflows that you launched over the course of 2020 has also kind of accelerate the momentum for you to penetrate into customers who were maybe previously holding out, waiting for these new workflow to come? And could you also touch upon your ASP instrument - ASP expectations for 2021 as well?
Eric Hobbs: Yes. I'll let Kurt take the second half of the question. I'll jump at the front part of the question, which was 2020 was a great year for us. And as you mentioned, we delivered 6 workflows, which brings our total released workflows up to 8. And placing 27 tools, this was a 56% increase in our installed base. So we finished 2020 strong, with a strong Q4 at $21.7 million, which enabled us to close the year out at $64.3 million. And what we're feeling in the market is we feel multiple tailwinds are both in our direction. And so as these tailwinds are blowing, it's really helping us and aligning with our strategy to expand, not only in current and adjacent markets and Antibody Discovery cell line development or synbio, but also in cell therapy and also in the viral vector space. And so there are additional market expanding deals in the pipeline. And this is why we're really looking forward to 2021, where guidance was laid out. But Kurt, do you want to provide clarity on the back end of that question with regards to ASPs.
Kurt Wood: I think when we look at it, ASPs are relatively stable year-over-year. The way we look at our business is more of a portfolio approach. So as we get some of these high-value business development deals coming into play, we'll manage that to the long-term models that we have communicated previously, with expectations of long-term gross margins in the 70% range.
Ruizhi Qin: Got it. And lastly from me, you mentioned that you completed the alpha unit for a cell therapy manufacturing system in the fourth quarter. How should we think about the time line for you to start placing beta systems with customers?
Eric Hobbs: Yes. It's a fantastic question. As you mentioned, and we discussed previously, right, we have completed the alpha prototype. We are integrating additional assays from the Beacon and transitioning onto the system. I think how we should think about it is this is a multiyear project, right? And as we move forward in this multiyear project, which the time line is heavily dependent on, of course, the regulatory aspects, right? As we engage in partnerships, I believe that time line can be brought in pretty significantly. But we continue to see cell therapies as one of the most exciting and emerging modalities. And so we're going to continue to push forward in the CTMS development process to engage more deeply in the cell therapy market.
Ruizhi Qin: Great. And congrats on the progress.
Operator: And our next question comes from the line of Dan Arias with Stifel.
Dan Arias: Eric, maybe just a couple on sort of the business development process. For the customers that are on the service side, CROs and CDMOS, I'm curious whether as you go to pitch the Beacon, if you're finding that there are sort of particular economic cases that they look for? In other words, is there something about pricing or a payback period that sort of has the light go off when it comes to their own ability to make money? And any commonalities there that you're seeing?
Eric Hobbs: Dan, it's a great question. Absolutely. I think the best-case study is in cell line development, where what we're finding is that our customers are able to recover based on the additional value that Berkeley Lights provides by very rapid turnaround in cell line development, that we're able to provide significant value. In certain cases, our customers are saying that the return on investment is less than 5 engagements, customer engagements that they pay the system back. And this was before, Dan, this is before our first customer approval of an IND in Q4. So our customers are really accessing value from the very high throughput that we provide with these automated systems.
Dan Arias: Okay. That's great. And then maybe just, if you look at the sales funnel, where are the application areas where it feels like customers are sort of onboard in concept, but maybe waiting for some externally validated data emerge? I'm just trying to understand where you're kind of - you're at the verge of a tipping point once folks sort of look around and see that someone else is doing it and having some success.
Eric Hobbs: Yes. And I think we're either there or passing that. I mean, we provided a guidance range of $90 million to $100 million because it's predicated on our current sales funnel as well as historical and anticipated conversion rates. As we said in the prepared remarks, for the full year and Q4, we saw strong growth particularly - in particular, if we say for Antibody Discovery, in the Asia Pacific region. But also cell line development, as I mentioned, with the IND approval that continued to go up. So we continue to innovate, and our customers are looking forward to the release of these new workflows, such as Opto Plasma B Discovery 4.0, which will create the new gold standard for the new molecule discovery, and also cell line development with the IND approval. So we continue to see growth in our sales pipeline to support our guidance.
Dan Arias: Okay. All right. Maybe last one, if I could. Just on the placement trajectory. It seems like biopharma is in a pretty good place right now, but you do have COVID in the mix still, and there are some questions. So in terms of just cadence across the quarters on the placements, is there anything you would kind of point us to in terms of back half of the year or front half of the year dynamics that are that are noteworthy?
Eric Hobbs: Well, Dan, in regards to the discussion of whether it's pharma or CDMOs, we continue to see capacity expansion happening in the market. And our customers are not slowing down at all, whether it's the pharma or the CDMO customer. So the typical seasonality that we see, I think, is in order. Other than that, Shaun, or Kurt, anything to add in regards to corporate stuff?
Kurt Wood: Yes. I think this year, in particular, you've got - as we ramp our business development team and we make the investments there, as those deals materialize, you'll see more of our high-value collaborations there be skewed towards the second half from a revenue recognition standpoint.
Eric Hobbs: And Shaun, anything to add on the seasonal performance, historical stuff you'd like to add?
Shaun Holt: No, I was just going to kind of, I think, add to what Kurt was alluding to a bit. We absolutely plan to grow the placement number year-over-year. I think what you also see is like this AUV deal, we just articulated in the earnings grips, you'll start to see an expansion of sort of our high-value sort of partnership revenue stream as well. And some of those deals, Dan, would be in lieu of placements, right? So we capture a bit more value doing a partnership, a high-value partnership approach than a placement. So I think you'll see placements continue to grow, but I also think you'll see the business development line, the partnership revenue grows year-over-year significantly as well.
Operator: And our next question comes from the line of Doug Schenkel with Cowen.
Subhalaxmi Nambi: This is Subbu Nambi on for Doug Schenkel. So to begin with following up on Julia's question on the CTMS system that allows for both centralized and decentralized manufacturing, does this mean it will also be comparable to allogeneic T-cell therapies? And can already approved therapies or the ones in clinical trials also use your technology? Or would it have to be at the IND stage?
Eric Hobbs: Yes. So let me - I'll handle both questions. I'll first start with allo versus autologous. What we see in the market is, of course, the approvals of the autologous cell therapies. And so our automated system - we believe our automated systems, coupled with our Beacon system with cell therapy development 1.0 and 2.0 workflows, are the most rapid way to accelerate the development of whether it's autologous or allogeneic cell therapies. The cell therapy manufacturing system is tailored more towards autologous cell therapies, but also will work for allogeneic cell therapies. There's often a common misconception in terms of just the number of cell therapies that can be manufactured, or the volume of cell therapies that can be manufactured from an autologous or for an allogeneic overall workflow. But in any case, it certainly is more tailored toward the autologous right now. In regard to the approvals, right, in the cell therapy space, you talk about whether it's IND stage or BLA stage. And, certainly, this is IND stage because the process is a key part of the product. And so working and engaging with the clinical cancer centers is a core part of our overall strategy as we move forward, and this is the next point of engagement in our overall strategy for CTMS.
Subhalaxmi Nambi: So then already approved T-cell therapies and CAR T therapies, they have the least opportunity at this point, right?
Eric Hobbs: Yes. Unless the customer wishes to, of course, rework or go back through certain levels of the clinical trial, then I would not anticipate they would move to the Berkeley Lights CTMS. But we are able to capture things in Phase I and Phase 2.
Subhalaxmi Nambi: Okay. That's helpful. And one last one for the Antibody Discovery Workflow 4.0. Is it targeting only new BLI customers? And if not, since the workflows are pretty automated and modular, would you also be able to market it to your previous customers just as an upgrade?
Eric Hobbs: Yes, it is a great question. Antibody Discovery 4.0, as we move forward and we develop our Plasma B Discovery workflows, right? We continue to engage with the early adopters and innovators who were the first to join and first to buy the Berkeley Lights platform for Antibody Discovery. Antibody Discovery 4.0 really pushes us into the broader market because it's - and it's not only for new customers, but absolutely is applicable to existing customers. When you engage in the Berkeley Lights platform, we provide updates as a function of time that just continue to make the platform more and more valuable for our customers. And so in this case, with a software update and a purchase of a new kit, that's chips, reagents, et cetera, a customer who's on Antibody Discovery 1.0, 2.0 or 3.0 can upgrade to the 4.0. The 4.0 workflow has an increased recurring revenue based on the value that we provide with this additional workflow. So we see conversion of - we see there are several existing customers who are already running Antibody Discovery 4.0 in kind of a prototype mode who will receive the full workflow as we released it in the mid of 2021.
Operator: And our next question comes from the line of Tejas Savant with Morgan Stanley.
Unidentified Analyst: This is actually Ed  for Tejas. Just wanted to circle back to this new viral vector collaboration with the CDMO partner. I understand the value that it brings to your company with the expanded, I guess, applications and the additional opportunity to develop workflows. But I guess the question I had was the stabilized cell lines that you guys are manufacturing with the CDMO, is this going to ultimately be proprietary to your partner? Or is it something that you guys plan on marketing to the end users or other CDMOs? And would there be a revenue sharing aspect of that included in the partnership? And I guess maybe this is a little too early on to ask, but should there be any additional milestones or catalysts that we should be looking for here?
Eric Hobbs: So part of our strategy, in general, is to find really big problems in attractive markets that leverage cell-based products, and then engage with the industry-leading partner to create a solution. And for us, that solution comes in the form of a workflow. So in the case here, we are creating a workflow that will help our customers rapidly generate stable cell lines for viral vector production. And as you may have mentioned, at Berkeley Lights, these collaborations are not only to provide that to the collaborative partner. This is a nonexclusive deal, by which we will generate this workflow, provide that workflow to that collaboration partner. But then we have the ability to market the solution, the workflow to other CDMOs and other market participants. And so these collaborations - and it's a very standard thing for all of our collaborations, actually, that in addition to the value that we bring in the short term, they open up these new markets that lead to recurring revenues as a function of time into the future. Now in regards to the aggregated business model, at the end of - at the tail end of this collaboration, there's a transition into a subscription with this particular customer as we work through the milestones. So there is locked in some level of future downstream revenues, but there are other economics that other participants may be subject to that the early movers are not.
Unidentified Analyst: Got it. So the focus is still on the workflow and the market expansion opportunity, and there won't be any sort of revenue sharing associated with the stabilized cell line that's ultimately developed. Got it.
Kurt Wood: And there's not a royalty on the back end, if that's what you're asking.
Unidentified Analyst: Yes. Okay. Got it. Yes, that was the question. And then just to dive into a little more detail on your 9 units placed this quarter. Can you provide some sort of color on the, I guess, the end-market mix and maybe the geo mix? And then, was that all Beacon direct placements? Did you have any subscription placements? And how did - how was lightning in the cell culture station looking this quarter?
Eric Hobbs: Yes, Shaun, since this is a Q4, do you want to take this?
Shaun Holt: Yes, absolutely. So we did have a subscription placement, and we can talk a bit more about that in a bit. As we drill down sort of into the mix of - I guess, we can start with market segment. The majority of our placements were in the antibody therapeutics, although we did have a placement in both cell therapy and synbio as well. So hopefully, that gives you some color on Q4 in terms of the market sort of segment mix. When we talk about customer segments, fairly evenly split between biopharma and CRO - CDMOS. And then we had multiple placements into the academic segment as well.
Unidentified Analyst: Geographically, is this all in America?
Eric Hobbs: Geographically, Asia Pacific led the year. Shaun, do you want to provide color on Q4?
Shaun Holt: Yes. So about - let's see, looking at the mix here. About 1/3 went to Asia. We did see, actually, some progress and growth in Europe, which was very encouraging. So - but the majority were Asia and Americas in Q4. We're not actually providing the detailed splits.
Operator: And our next question comes from the line of Brian Weinstein with William Blair.
Brian Weinstein: Just sticking on the theme of the call here, with the viral vector deal here. Can you talk just a little bit more just about the proof point of what this is for kind of the broader strategy here of a partnership model? And really, as we think about it, which customers are more amenable to this as you're going out and kind of hunting these things? I mean, it's obviously economically beneficial to you. So I'm just curious where you think that you have the biggest opportunity there? And then longer term, how do you guys think about the mix here evolving over time as a result of these types of deals? As we think kind of long-term between recurring revenue partnership and capital or system sales, how should we be thinking about that, call it, several years out?
Eric Hobbs: Yes, Brian. No, it's a great question. Great to hear from you. The - this is all part of our strategy. And as we talked about, Brian, in Q3 and into Q4, we're really going to make the investment into the business development team. So we invested in the business development team, which we very rapidly filled up our business development pipeline. And the business development pipeline, of course, feeds into a part of our BioFoundry that we call the innovation lab. And in the innovation lab, we go run some experiments to see what's the level of impact we can make in some of these markets? And so in particular, for the viral vector, viral vector went to that path. We had a customer who showed extreme interest in engaging with us to solve this particular problem. We were able to go into our BioFoundry and show not only could we measure things like maximum capsid tighter, but also, we can understand and see if the capsids that are being generated, right, were probably have properly packaged DNA. And so being able to do both of those things gives us a leg up on the chip, gives us the leg up to move from something like tens of cell lines in 6 months to over thousands of cell lines in under a week. And so what we do is we continue to invest into our BioFoundry to develop these workflows. Now as we work through these partnerships and generate these workflows, we deliver the workflows to the field right, up to the field. And in regards to, well, who is the customer? Where will we benefit? The CDMOs, of course, will benefit. But as we move upstream, right, I think there's an opportunity to displace the transient cell lines that are being made to the end use today with stable lines, which I think will possibly be better for starting into clinical trials and these things. And so what happens is the workflow goes out of the market, Brian, and then it becomes a revenue stream for us. And that revenue stream can come in multiple ways. It can be tool placements via CapEx sales, it can be subscriptions as we've discussed previously. So how you should think about our business is, as we engage, the earliest engagement happens in the business development pipeline, which then leads to a workflow. So we have some low revenue in the business development pipeline, which leads to recurring revenues through the release of the workflow. And then we have a revenue stream in a market. And so as we look out multiple years, you'll see stacking up of multiple revenue streams. And the proof points are in our business right now, right. We first released cell line development. That is a large portion of our business. Then we released Antibody Discovery, which very rapidly caught up to the same level of revenues of cell line development. And then we have synthetic biology, which is a revenue stream through the Ginkgo collaboration. And so - and then furthermore, cell therapy development, which is - which we released workflows at the end of - in the second half of last year. And so in the future, you'll expect to see viral vector workflows and additional other workflows that will come through our pipeline. Brian, does that answer your question in terms of how you should think about these like stacking up revenue streams?
Brian Weinstein: Yes, it does. I mean we'll do some additional thinking about it and follow that up with you if needed, but I think that was a good answer. I appreciate it.
Eric Hobbs: Thanks, Brian.
Brian Weinstein: Yes. Just one other one, if we can just talk a little bit more, just on a modeling question. So if we think about - you've had a full year, but you've talked kind of second half weighting. But is there any additional color that you can give us on sort of pacing here just on the revenue? You're mostly way through kind of Q1 here, how should we be thinking about that? But then also spending and how we should be kind of layering in the incremental spending here throughout the year, considering that you guys have significant opportunities here. How are you thinking about that kind of playing out throughout the year?
Eric Hobbs: Yes. Let me jump into this one, then I'm going to hand it off to Kurt. And I'm going to answer the second part of the question first, Brian, which is jumping in, which is we see multiple opportunities in the business development pipeline. And since we're entering what it looks like to be a target-rich environment, we're going to invest to develop workflows to achieve, to create those workflows for those particular market segments. And that will require a level of investment. But at this point, what I'll do is I'll hand this off - this rest of the question off to Kurt for him to fill in the quarterly split, what the spending was like. Kurt?
Kurt Wood: Yes. Brian, as Shaun mentioned earlier on in answer to a question is, we typically have seasonality that's stronger in the fourth quarter. You'll continue to see that this year. And some of the business development activities, as I alluded to earlier, will be more back-end loaded. But I think the quarterly profile that you saw in 2019 - or 2020 will be similar to what you see in 2021 here, going into that. Second part of your question in terms of the expense function. We do expect a step-up in the OpEx as early as in Q1. We talked about we got the BioFoundries going up, the investments we're doing in business development and then the investments we're doing in R&D, not only for the BioFoundry for additional CTMS development and alphas, but also for these development collaborations that we're doing with BD. And I think that step-up in overall OpEx is probably in the mid single-digit millions in the first half. And then that probably is consistent with some headcount growth from that step-up function kind of going out into the second, third and fourth quarter. Does that answer your question?
Brian Weinstein: Yes, it does.
Operator: Our next question comes from the line of Paul Knight with KeyBanc.
Paul Knight: Eric, could you talk to the 75 placements out there? How many customers are - have multiple units installed? And are existing customers ordering a greater amount of additional units? And also are those customers buying other platforms besides Beacon?
Eric Hobbs: So of the 75 units, we absolutely do see customers with multiple units. Our customers, typically, they'll buy - they'll hear about the Berkeley Lights Beacon and the impact that our workflows are having in the market. They'll pick up the first Beacon. And then within a couple of months, they realize how valuable it is, and they'll pick up the second and third. We have one customer who has up to 5 Beacons at this point in time. In regards to the overall total number of customers, I would hand that off to either Kurt or Shaun. Shaun, do you want to jump in and then, Kurt, if you have some details.
Shaun Holt: Yes, absolutely. So just to go to - I think, another part of that question was the sort of mix between new and existing customers. Of that 75, nearly 30% are actually existing customers adding to their fleet. Paul, when we think about our customer base, I mean, we have over 70 customers in total. But obviously, there's a handful that are the collaboration partnership type that would necessarily have a unit. There's customers under subscription as well. But that should give you a flavor of the mix of new versus existing customers and the growth of the customer base over time.
Paul Knight: And the structure of your partnerships, is it milestone payments and then they purchase a unit? How do you structure one of those deals?
Eric Hobbs: Yes. So what I'm going to do is I'm going to pass the business development question off to Kurt Wood. Kurt?
Kurt Wood: Yes. Earlier on in the life of Berkeley Lights, we were doing more milestone-based. And we found that really didn't work well for us or the customer because as you can obviously tell, when you're working with biology, things change and you want to be nimble. So we've moved more to what we would consider an R&D capacity-type model, where they - we work with customers and they get a certain amount of time from our BioFoundry. And it allows us to be a little bit more nimble and for the customer to respond to what they're seeing from the workflow and change the milestones without there being - well, if you can't do that because contractually, you're obligated to deliver a certain milestone. And that's been really well-received from the customer base as well. And it's - we believe it leads to faster learning cycles for us as well as the customer. And so that's more of the model we're doing now. And so the vital vector deal, for example, as Eric mentioned, we're working on delivering a workflow. It's capacity-driven from our BioFoundry. And then at the back end of the successful completion of that, we have a continuing of the relationship with a potential subscription of the tool to keep going. So that's more of the model we're applying to now. Now obviously, these - each deal will have a little bit of a nuances to it to go there, but that's what seems to be working really well for us and the customer and how we've evolved over time, and it's allowed us, I think, to increase the pipeline of deals activity.
Paul Knight: If you have success in the viral vector workflow, how long would you - do you think it would take for that to be a commercially available product for the broader market?
Eric Hobbs: Yes. So one of the things about how we're ready to develop the deals as we do, as I described, Paul, we do run early kind of prototypes on these things before we sign these deals. And so we've made - we have some preliminary results that show we can measure the things we need to measure based on our platform capability. It's one of the strengths of Berkeley Lights, actually, that we have a platform where you try new software code, create a new assay and then develop - deliver our workflow pretty readily. And so I do believe that with the new - the way that we're investing into the BioFoundry and the innovation lab, we're going to be able to accelerate the rate at which we can get these workflows to market. And I think that's a really important thing to consider. So in this particular case, where it would have taken several years to get a workflow out to market, I think you're looking on the order of 12 to 18 months to have something available.
Paul Knight: And then lastly, do you think that your - the data you're developing on machine learning, in effect, is widening the mode? Or is your imaging technology, the database rising in value and could you just talk to that?
Eric Hobbs: Yes, absolutely. As part of Antibody Discovery 4.0, we released the, what we call, PrimeSeq, which is a cloud-based software, which takes the phenotypic data from the Berkeley Lights Beacon and then pairs it to the sequencing data that comes off the sequencers because we have bar coded sequencing that comes off the platform. And we believe the combination of those 2, bringing the phenotypic or functional data together with the sequencing data is a critical component to accelerate machine learning in the future. We believe there is significant value in that. And the more that we run in our BioFoundry and in our innovation lab, we'll continue to build databases that are useful to us. And so - and that also already paid off in another way in Antibody Discovery 4.0. But when we import the cells into the tool, we actually use - we use a deep learning algorithm to append the cells that are the happiest secreting cells into the NanoPens, which we figured out using some of the data that we had from running on different collaborations. And so I do believe that the database and deep learning algorithms, that can be generated based on this data, multi-parameter data, multi-functional data is going to be critical for accelerating the rate at which we can help our customers discover development and commercialize cell-based products in the future.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you for participating, and you may now disconnect.